Operator: Good day and thank you for standing by. Welcome to the FuelCell Energy Second Quarter of 2021 Financial Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-session. [Operator Instructions] please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Tom Gelston, Senior Vice President of Finance and Investor Relations. Please go ahead.
Tom Gelston: Thank you, Jason and good morning everyone. Thank you for joining us on today's call. As a reminder, this call is being recorded. This morning, FuelCell Energy released our financial results for the second quarter of fiscal year 2021, and the earnings press release is available on the Investor Relations section of our website at fuelcellenergy.com. Consistent with our practice, in addition to this call and our press release, we will post a slide presentation on our website. This webcast is being recorded and will be available for replay on the company's website approximately two hours after we conclude the call. Before we begin our prepared comments, please direct your attention to the disclosure statement on slide two of the presentation and the disclaimers included in the press release related to forward-looking statements. The discussion today will contain forward-looking statements, including, without limitation, statements with respect to the company's anticipated financial results and statements regarding the company's plans and expectations regarding the continuing development, commercialization, and financing of its FuelCell technology and its business plans. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical facts, are forward-looking statements and include statements regarding our anticipated financial and operational performance. Forward-looking statements made on this call represent management's current expectations and are based on information available at the time such statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from any results predicted, assumed, or implied by the forward-looking statements. We strongly encourage you to review the information in the reports we file with the SEC regarding these risks and uncertainties, in particular, those that are described in the risk factors section of our annual report on Form 10-K and the cautionary statement concerning forward-looking statements disclosed in our quarterly reports on Form 10-Q. You should also review the section entitled Cautionary Statements considering forward-looking statements in this morning's earnings press release. During this call, we'll use non-GAAP financial measures when talking about the company's performance and financial condition. In accordance with SEC regulations, you can find a reconciliation of these non-GAAP measures to the comparable GAAP measures in this morning's earnings press release and the reconciliation document posted on the Investor Relations portion of our website. On our call today, I'm joined by Jason Few, FuelCell Energy's President and Chief Executive Officer; and Mike Bishop, Executive Vice President, Chief Financial Officer, and Treasurer. Following our prepared remarks, we will be available to take your questions and be joined by other members of the leadership team. I'll now like to hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom, and good morning, everyone. Thanks for joining us on our call today. We remain optimistic about the continuing momentum behind the global energy transition and expect to play an important role with our primary technologies that include distributed generation, distributed hydrogen, long duration hydrogen energy storage, and carbon capture.  We are firmly committed to working hard to achieve revenue growth over time by continuing to focus on our turnaround and delivering proprietary technology solutions that we believe solve customer energy needs and aim in decarbonisation. For anyone who may be new to the story, we have included a company overview shown on slide three. Taking a look at full year fiscal 2020 ended on October 31st, we achieved revenue of $71 million, a double-digit increase over the prior year. Our three largest revenue categories are service and licenses, advanced technologies, and generation. All of which represent diversified sources of recurring revenue under multiyear contracts with investment grade customers. Looking ahead, we are focusing on opportunities to generate meaningful revenues from product sales. We see opportunities in markets, including the U.S., Asia and select countries across Europe, and even domestically with certain customers who prefer to own the FuelCell platform. Under our powerhouse business strategy, we have made it a priority to target product sales. We have been taking steps to rebuild our business development and go-to-market capabilities as an essential step in the strengthen pillar of our powerhouse business strategy to ultimately support growth, recruit and onboard strategic talent, focus on market segments, which deliver long-term growth opportunities with repeatable business in carbon capture and separation and hydrogen applications and reenter target global markets and build client relationships. We have many customers highlighted here on the slide who are utilizing our multi-featured FuelCell platforms. Many of these platforms integrate combined heat and power capabilities, creating extremely high energy efficiency levels. While other installations enable micro grids, keeping a central resources powered and enhanced grid resiliency and reliability. Some applications utilize onsite biofuels resulting in carbon neutral to carbon negative power. Prior to moving on to discuss our corporate purpose, I want to spend a minute addressing our quarterly results. Certainly, we are not satisfied with the financial results that the company produced this quarter. If this is not your first earnings call, you've heard me discuss saving ratio. We continue to concentrate on improving the saving ratio across our organization. And while our strategy implementation and pivoting to the growth phase was expected to be a process, we are not pleased with our saving ratio this quarter and the results that we're reporting this year morning. However, I want distress that the financial results are a snapshot and not a complete reflection of the hard work and progress we're making in executing our powerhouse business strategy. We will cover some of these actions and investments in the coming slides. Now turning to slide four. As a company, we are committed to our purpose of an enabling the world to live a life in power by clean energy. The world will always need reliable, always on power, that is created in an environmentally responsible manner, as we are periodically reminded by extreme weather and other events, grid reliability remains a critical issue. FuelCell Energy is uniquely positioned to assist customers on their decarbonization journey and meet the grid reliability challenge with our broad product portfolio. It is important to highlight that we do not subscribe to the philosophy that the goal of decarbonization requires deindustrialization or that developing countries around the world cannot participate in industrial -- in industrialized societies through their own economic development. Instead, we look to deploy our unique and differentiated energy solutions to deliver decarbonized based on power as a necessary compliment to intermittent renewables in a manner which sustained high standards of living and economic growth, while protecting the environment and adapting to new resource challenges. This purpose drives our strategic focus and the work we do. Next, I would like to turn your attention to some key messages for the quarter shown on slide five. The first is that we continue to make steady progress against our $1.3 billion of backlog as we execute our powerhouse business strategy. In terms of rated capacity completion of these projects will add 43.5 megawatts more than doubling our current generation portfolio of 32.6 megawatts. As previously announced, our backlog now includes a power purchase agreement for a newly awarded 2.8 megawatt share clean energy facility project in Derby, Connecticut. I am pleased to announce that we are close to resolution of the interconnection issues on a 7.4 megawatt project at the U.S. Naval Submarine Base in Groton, Connecticut. With two parties prepared to execute the current form of interconnect agreement, One of which is FuelCell Energy. The project is entering the final stages of construction and nearing completion. With commercial operations currently expected in late summer assuming final signature of the interconnection agreement is achieved. Related to project opportunities in the State of Connecticut, the Connecticut House of representatives approved the passage of House Bill 6524 by 143 to one margin on May 24th, 2021. Just last evening, the Connecticut Senate approved the passage of House Bill 6524 by a 26 to 10 margin. This bill includes several key provisions and amendments important to the State of Connecticut maintaining its fuel cell manufacturing leadership position. The energy transition and the forecasted importance of distributed hydrogen positions Connecticut as a global leader in clean technology essential and achieving global sustainability objectives. The bill requires the Connecticut utilities to solicit proposals to acquire new fuel cell electricity generation projects that begin on or after July 1st, 2021. Projects submitted under this mandate will be approved by January 1, 2022. Importantly, House Bill 6524 provides preferences for projects that are cited on brownfields as Connecticut demonstrates its commitment to energy equity and for fuel cells that are manufactured in Connecticut. The bill now goes to the Governor Ned Lamont desk for signing into law. At our 1.4 megawatt biogas project at the San Bernardino California wastewater treatment facility, construction is completed. We have received the necessary authorizations from the local utility on the interconnection process for this platform, and we have entered the commissioning stage of this project. We expect COD in our fiscal third quarter, and once we achieve COD FuelCell Energy will help yet another wastewater treatment plant turnoff its flare, another example of FuelCell Energy helping a customer to move its decarbonisation goals forward and eliminate methane flaring. Equipment manufacturing, fabrication, and early stage construction is underway on the 2.3 megawatt TriGen hydrogen platform at the port of Long Beach that will deliver carbon neutral electricity, green hydrogen, and produce water, helping Toyota avoid consuming water as a natural resource at the port. The picture on the right side of the slide is a rendering of the first of its kind project. I want to unpack the value of generated water our TriGen hydrogen platform will provide Toyota. Based on the national drought mitigation center at the University of Nebraska-Lincoln, today 100% of the State of California is in at least moderate drought conditions and the area surrounding Long Beach California are classified in between severe and extreme, making the TriGen water production even more valuable to Toyota's water use at the port. This project is expected to further demonstrate the ability of FuelCell Energy's platforms to assist our customers in achieving a broad range of sustainable goals. In addition, we are advancing work on our utility scale deployments in Yaphank, Long Island, New York, in Derby, Connecticut. Together, these three projects total 24.5 megawatts. After resuming production last year at our Torrington Connecticut manufacturing facility with necessary COVID-related safety enhancements, we have increased our annualized production rate from 17 megawatts at the end of fiscal 2020 to more than 30 megawatts as of April 30th, with the objective of reaching an annualized production rate of 45 megawatts by the end of this fiscal year. This increased production rate has been facilitated in part by our efforts in increasing hiring, reducing production, pack time and continued implementation of lean manufacturing principles. Operational excellence has always been extremely important to FuelCell Energy and validation of our efforts. I am proud that we recently added ISO 45001 2018 to our list for certifications. This recognition represents the world's international standard for occupational health and safety, and is important to our company as it formally incorporate safety into our everyday practices. My second key message is to highlight our investment in research and development toward the commercialization of our solid oxide power generation storage and hydrogen electrolysis platform, as well as growing our commercial capabilities. Our DOE supportive programs continue to advance the design of our solid oxide stacks, stack modules, and balance the plant systems. The prototype electrolysis system that we are currently operating is exhibiting our target electrical efficiencies of about 90% with the capability to increase electrical efficiency to 100%, with an external source of waste. We are also executing them programs to develop reversible solid oxide systems for energy storage and very high efficiency solid oxide power generation systems. And the third key message today is our focus on strengthening our leadership and sustainability. The transition to clean energy continues to gain momentum as society looks for decarbonization solutions to address climate challenges while grid reliability deteriorates admits challenges posed by climate change under investment in infrastructure and cyber attacks. To meet this growing need, FuelCell Energy remains focused on developing and deploying our distributed decarbonized product portfolio solutions for some of the largest global energy opportunities. And now I will turn the call over to Mike to discuss our financial results in more detail. Mike?
Michael Bishop: Thank you, Jason. Let's begin by reviewing financial highlights for the quarter shown on slide seven. In the second quarter of fiscal year 2021, we delivered revenues of $14 million compared to $18.9 million in the second quarter of fiscal year 2020. Looking at revenue drivers by category, service agreements and license revenues decreased to $700,000 from $7 million reporting in -- reported in the comparable quarter of 2020. The decline in revenue is primarily due to the fact there were no new module exchanges during the quarter, while new module exchanges generated approximately $5.5 million of revenue in the prior year quarter. The second quarter of fiscal year 2021 also included cost estimate adjustments related to changes in the expected timing of future module exchanges, which reduced revenue recognition in the quarter by approximately $800,000. Generation revenues increased to $6.2 million from $4.6 million, primarily due to higher operating output of the generation fleet, which resulted in an increase in generation revenues of approximately $800,000 in sales of renewable energy credits, which also resulted in an increase in generation revenues of approximately $100,000. Advanced technology contract revenues decreased to $7.1 million from $7.3 million compared to the second fiscal quarter of 2020 advanced technology contract revenues recognized under the joint development agreement, or JDA, with ExxonMobil Research and Engineering Company, or EMRE, were approximately $400,000 higher during the second fiscal quarter of 2021, reflecting the continued performance under the JDA with EMRE on fuel cell carbon capture solutions during the quarter. The increase revenues under the JDA were offset by $600,000 less revenue recognized under government contracts during the second fiscal quarter of 2021 compared to the prior year quarter. The loss from operations totaled $17.4 million compared to $8.1 million in the comparable prior year period, as a result of higher gross loss and higher operating expenses. Gross loss for the second quarter of fiscal year 2021 totaled $4.8 million compared to a gross profit of $200,000 in the comparable prior year quarter. Impacting gross loss for the quarter were lower service gross margin due to the fact there were no new module exchanges during the quarter and due to adjustments of loss accrual reserves to account for changes in the expected timing of future module exchanges. We also saw lower generation gross margin, primarily related to higher costs for plant maintenance, as we continue to invest in efforts to improve fleet performance and lower advanced technology gross margin given the mix of activities in the quarter. These impacts were partially offset by lower manufacturing variances as a result of the increase in the annualized factory production rate. Operating expenses for the second fiscal quarter of 2021 increased to $12.6 million from $8.3 million in the second fiscal quarter of 2020. Administrative and selling expenses in Q2 2021 included additional share-based compensation of $800,000 due to the non-cash grants made in August and November 2020 under our long-term incentive plans. And increase in compensation expense and proxy mailing expenses associated with the company's annual stockholder meeting also contributed to higher administrative and selling expenses in the second fiscal quarter of 2021. Research and development expenses of $3 million during the second fiscal quarter of 2021 reflect increased spending on the company's hydrogen commercialization initiatives. Net loss was $18.9 million in the second fiscal quarter of 2021 compared to a net loss of $14.8 million in the second fiscal quarter of 2020. The net loss per share attributable to common stockholders for the second quarter of fiscal 2021 was $0.06 compared to $0.07 in the second fiscal quarter of 2020. The lower net loss per common share despite a higher net loss attributable to common stockholders is due to the higher weighted average shares outstanding due to share issuances since April 30th, 2020. Adjusted EBITDA totaled negative $11.3 million in the second fiscal quarter of 2021 compared to adjusted EBITDA of negative $3.3 million in the second fiscal quarter of 2020. Please see the discussion of non-GAAP financial measures, including adjusted EBITDA in the appendix of the company's earnings release. Next, please turn to slide eight for additional detail on financial performance and our backlog. The charts on the left hand side of the slide graphically show the numbers that we just reviewed for the second quarters of fiscal years 2020 and 2021. Looking at the right hand side of the slide, we finished the quarter with backlog of approximately $1.3 billion, a decrease of 1.5%. The backlog decrease was partially offset by the inclusion of $59.4 million of generation backlog added during the quarter for the power purchase agreement for the 2.8 megawatt project in Derby, Connecticut. This 20-year power purchase agreement was awarded as part of the competitively bid state-sponsored shared clean energy facility program. Now turning to slide nine. As of April 30th, 2021, cash, restricted cash, cash equivalents totaled $171.2 million of which $32.1 million was restricted cash and cash equivalents represented by the green bar. On the right hand side of the slide, we have included a chart illustrating our total project assets, which make up our company-owned generation portfolio, which we continue to invest in. Investments to date include capital spent towards completed projects, as well as projects in development and construction. At the end of the second quarter of fiscal year 2021, our gross project assets totaled approximately $223.4 million. As itemized on slide 19 in the appendix of this presentation, our generation portfolio totaled 71 -- 76.1 megawatts of assets as of October 31st, 2021. This includes 32.6 megawatts of operating assets and 43.5 megawatts of projects and process. As projects and process come online, they are expected to contribute higher revenue and adjusted EBITDA. As noted in our release today, we are now targeting commercial operations of our San Bernardino platform in the third quarter of fiscal 2021 and commercial operations of the Groton Navy subbase project is targeted for late summer of 2021. Also as projects come online, we expect to seek long-term project financing and recycle cash back to the company to redeploy into other projects or growth development activities. I will now turn the call back over to Jason.
Jason Few: Thanks Mike. Next on slide 10 is a summary of the four major technologies that FuelCell Energy is pursuing, each with its own significant total addressable market opportunity that creates optionality for the company and it's supported by our broad fuel cell platform portfolio. In distributed generation, we currently have 32.6 megawatts installed and operating with another 43.5 megawatts in our product backlog. Our distributed hydrogen and carbon separation solutions are commercially available. And as previously stated, our carbonate distributed hydrogen solution will be implemented at the port of Long Beach, California. Ours is the only platform we know of that can produce both hydrogen and water. This capability has the potential to be particularly significant in areas with constrained water supply, as I previously highlighted. Hydrogen and long duration energy storage using our solid oxide technology is an advanced development and our unique carbon capture technology is currently being developed under a joint development agreement with ExxonMobil Research and Engineering Company. We continue to advance our carbonate fuel cell platform's efficiency, capturing carbon from an external source while also producing power. As with our distributed hydrogen platform, we believe our carbonate fuel cell platform is the only system in the world that can capture carbon from an external source and produce more power at the same time. We can also directly capture our own carbon emissions from our platform for carbon utilization and/or sequestrations. Next on slide 11, illustrates our position across the hydrogen value chain. On the left, you will see a visual illustration of how FuelCell Energy has the potential to deliver hydrogen using three of our platforms, depending on our customer application. Carbonate TriGen delivers power, water and hydrogen. And depending upon the configuration can deliver gray hydrogen, blue hydrogen, when combined with our proprietary carbon capture technology or green hydrogen when deployed utilizing biogas with or without carbon capture. And as a reminder, FuelCell Energy has spent two decades developing and refining in real commercial applications, the technology to clean the impurities from our onsite biogas, so that we can generate renewable energy and green hydrogen directly at the biogas source without expensive purifications pipeline quality. The platform we are currently building for Toyota at the port of Long Beach is an example of TriGen delivering green hydrogen. Carbonate REP, which stands for reformer-electrolyzer-purification, can be utilized when coproduction of power is not required and it can deliver green hydrogen, blue or gray. In essence, this is running our carbonate fuel cell and electrolysis our reverse mode to singularly produce hydrogen. And third, we are advancing our solid oxide technology, which produces hydrogen through highly efficient high temperature electrolysis. It can also operate in reverse mode, using stored hydrogen to produce zero carbon power. Slide 12 provides a more detailed overview of our solid oxide platform. A prototype unit is currently running in our Danbury, Connecticut headquarters for testing the various platform design elements. It will be modified to run in reversible mode, alternating between hydrogen generation and power production, demonstrating our hydrogen-based energy storage platform.  As previously announced, we have been selected for cooperative agreement from the U.S. Department of Energy to fund the design, manufacturer and testing of a large system at FuelCell Energy's Danbury, Connecticut facility to be delivered to Idaho National Laboratories. There, it will undergo rigorous testing to confirm the electrical efficiency, as well as the ability to utilize nuclear power plant waste heat to obtain even higher efficiencies of up to 100%. This project represents a key step in FuelCell Energy's path to commercialize our high temperature, high efficiency solid oxide electrolysis technology. The multi-stack module that forms the core of the system is a modular building block, easily scalable for larger systems up to gigawatt scale. Just last week, Senator Chris Murphy and Congresswoman Jahana Hayes visited us here in Danbury to witness firsthand electricity being converted to hydrogen by our prototype solid oxide unit. I think it is safe to say that both the Senator and Congresswoman are excited about the development of our differentiated technology taking place in Connecticut. The role Connecticut can play in the energy transition and the opportunity to create clean tech jobs in the state they represent in Congress. We are thankful for their time, appreciative of their support for federal programs that encouraged the continued and expanded deployment of fuel cells and encouraged by their leadership in important matters like decarbonization, grid reliability, the clean energy transition and their recognition that fuel cells are needed to realize global climate ambitions. Next on slide 13 is our powerhouse business strategy, which is based on three core pillars of transform, strengthen and grow. We introduced the powerhouse business strategy in January of 2020 to serve as a guidepost for our turnaround, as we repositioned FuelCell Energy to capitalize on the energy transition. The first phase of our plan was to transform the company by building a durable financial foundation and enhancing financial results. We have taken a number of important steps to strengthen the balance sheet, allowing us to finance new projects, push forward with commercialization of breakthrough products and lower our cost of capital. Currently, we're focused on strengthening stage of our strategy to drive operational excellence throughout the business and make capital investment decisions that further enhance our performance and advance product commercialization while adding top quality talent to our team. To fully deliver on the powerhouse business strategy, our third pillar for long-term growth is to penetrate markets and customer segments where our technology platforms can be the preferred solution. We are increasing our annualized production rate as previously mentioned, and would generate operating leverage as we increase our production rate for future business growth. Turning to slide 14. We will continue to work toward our three-year long-term targets and goals that we established with the launch of our powerhouse business strategy looking ahead to fiscal year 2022. Reaching these targets will require successfully executing against our 43.5 megawatt project backlog and achieving commercial operation for each of those projects. As I have explained in today's presentation, we are pursuing commercials --- commercializing our advanced technology around our -- around E&P and solid oxide hydrogen, and focusing on advancing the development of our carbonate carbon capture platforms for capturing carbon from external sources each of which offers potential growth opportunities for our company. To conclude my remarks, I will review the key investment highlights for FuelCell Energy on slide 15. We have executed several strategic actions to strengthen our balance sheet by repaying debt, enhancing liquidity and reducing our cost of borrowing. We believe these steps have positioned the company to execute on our three-year growth strategy. We have an exceptional leadership team and continue to add talent across the company. We are focused on taking care of our customers, hitting our financial milestones and continually building upon our operational excellence, while adhering to our core purpose. Our portfolio of innovative technologies has a potential key role to play in the global goals of decarbonizing the grid, developing the hydrogen economy and supporting existing energy and industrial infrastructure investments with differentiated carbon capture solutions. We are working to implement our powerhouse strategy to strengthen our business, maximize operational efficiencies and position us for long-term growth. Finally, we intend to be a leader in sustainability and environmental stewardship by delivering on sustainability through our technology and the full circular life of our platforms. I will now turn it over to Jason Stevenson to begin Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Thanks so much. Guys, can we get an update on the pipeline of projects that you're looking at, and how they're progressing outside of Connecticut versus you made some progress. But we'd love to see how you're competing in some of the other geographies.
Jason Few: Yeah. How are you this morning?
Colin Rusch: I'm good. Good to hear your voice. Thanks.
Jason Few: Thanks. Thanks for joining the call. Just to give you a sense of that. As we work to really do the work that we were doing around, the transformation part of our pillar or the big, but another big part of that has been trying to really build our pipeline and build opportunities, not only outside of the state of Connecticut, but around other parts of the world. So, if I give you the sense of the pipeline, as we see opportunities today kind of across the U.S., they represent approximately about 40% of the opportunities that we see the Europe and admitted that least right now is about 34% of the opportunities that we're looking at. And Asia, today as we've reentered that market now, you know, reflect early going about 13% and then across Latin America and other markets, we're roughly about 12%. So, we're starting to see really good momentum in the markets that we're really focusing on and leveraging the -- our product really as a platform, should be think about the way -- I talked about the Toyota solution. That's a scenario where we're offering more benefit than just traditional power or combined heat and power with that type of solution. And so, as we approach customers around the world, that -- that's really a big focus of ours is to make sure that we can leverage the multi-site capabilities of our platform to attract more customer demand for our products.
Colin Rusch: That's super helpful. I've got two more quick ones. First, on the inside for manufacturing, you obviously had to scale up, raw materials to become a bigger consideration from a purchasing perspective. More obviously seen a ton of inflation around some basic materials. But just want to get a sense of how you guys are positioned on that in terms of exposure on raw materials and any sort of pageants that you may have in place at this point?
Jason Few: Hey, Colin, what I'm going to do -- I'm going to let Mike is out here, Chief Operating Officer, address that from a supply chain perspective.
Michael Lisowski: Colin, thank you very good morning, and thank you very much for your question. Great question. So, we have a very well established and solid founded global supply chain. These relationships stand that is the periods of time. And we have pursued with our supply partners in many cases from fixed forward priced -- pricing agreements for -- to ensure continuity of supply, as well as protecting against unfavorable market dynamics. So, we feel good and confident about the positions that we have for our supply line and look ahead to executing on the projects as articulated.
Colin Rusch: Okay. Perfect. And then one last one, [technical difficulty], obviously interest rates are tremendously low here. You guys have really supplemented the balance sheet and then a really comprehensive way. Can you talk a little bit about the potential of refi -- existing portfolio, what sort of savings we might see on that and general sense of timing that you are [technical difficulty] those sorts of opportunities.
Michael Bishop: Yeah. Good morning. Good morning, Colin. This is Mike Bishop. Thank you for joining the call. So, as I mentioned in my remarks, the company, as we bring projects to commercial operations, we expect to bring in permanent financing for those projects, both in terms of tax equity and back leverage. As we've done for the projects that are currently operating in our portfolio, we have over 40 megawatts of projects coming online. So that's an opportunity to recycle capital back into the company as those projects come online. As we mentioned in our remarks, San Bernardino project expected to go commercial operations in fiscal Q3, and then the Groton subbase project expected late summer of this year.
Colin Rusch: Perfect. Thanks guys.
Michael Bishop: Yeah.
Operator: Your next question comes from the line of Praneeth Satish from Wells Fargo. Your line is open.
Praneeth Satish: Thanks. Good morning. Just wondering if you could comment on the support you're seeing generally from the Biden administration for hydrogen adoption. I think there was a proposal by the DOE to try to -- earlier this week to try to get the cost of green hydrogen down to a dollar per kilogram in a decade. So, just curious for your thoughts on this? And maybe the likelihood at some point of greater subsidies in the -- like from the federal government.
Michael Lisowski: Good morning, Praneeth. Thank you. And thank you for that question. We were pretty optimistic about what the Biden administration is trying to do overall with respect to the energy transition and even the focus that they're around -- just strengthening the reliability of the energy grid itself. And we think our technologies will have an opportunity to participate with opportunities around micro grid, as well as certainly, across the three platforms as we discussed for hydrogen. If you look at the U.S., we certainly see the U.S. trying to figure out how to move the hydrogen economy forward and playing a bit of catch up with markets like Europe and Asia in terms of the plans that have been announced across different countries across those regions. But we think that the Biden administration from everything that we're hearing and conversations that we have with the DOE is, we do a lot of work with the DOE that there's going to be tremendous support for hydrogen. And we look forward to that. And as we indicated, we've got DOE supported project that we're working on that we'll do with Idaho National Labs, which is really gets to -- again, really thinking about how we leverage the multi capabilities of our platform. So, as we talked about, we have the ability with our solid oxide platform to produce hydrogen in a very highly efficient manager -- that manner, as we talked about 90% we're demonstrating in the prototype that we're running here. But to be able to leverage that platform and then integrate and extend the value of nuclear by utilizing waste heat to even make the conversion of that electricity even more efficient, it's just another example of how, one is, the Biden ministration dailies supporting our work and leveraging the multiple capabilities of our platform.
Praneeth Satish: Great. Thanks. And just one more question. I'm just wondering if you could give us an update on your carbon capture progress so far, and maybe the roadmap there to commercializing it?
Jason Few: Sure. A great question. And what I'll do is I'll maybe ask Tony Leo, our Chief Technology Officer, to give you a sense of the work that we're doing there and the progress that we're making.
Anthony Leo: Sure. So, we're making a lot of progress with our joint development agreement with Exxon and a little bit background on the objective of that. Our carbon platform has been optimized over the years for power generation. The Exxon program is developing modifications designed to optimize it for carbon capture. So, what we've been able to do all the work we've done with them so far has really increased the capabilities, the amount of power we can make while we capture carbon. We continue to do that work. And we continue to think about where the project will be demonstrated. Exxon has publicly talked about doing a demonstration at one of their facilities in the Netherlands in Rotterdam. So, we are continuing to develop the plans for that demonstration, as well as evolve the technology for that project, as well as project beyond the timing. Exxon is still finalizing with us. So, we can't be very specific about the timing, but we're happy with the progress from here.
Jason Few: And Praneeth, just to add onto that. I mean, as you think about our platform and carbon capture, we really -- we think about it as both. How do we leverage our platform around carbon capture related to sequestration and apply that technology toward large scale applications whether that be gas power generation or industrial type applications. But also we think about carbon from a utilization standpoint and all the innovation that's going around, how carbon is utilized in different ways, whether that's making concrete and/or plastics as an example, or traditional uses for carbon like dry ice or pH balancing and water supply. But just to give you an example, again, of all of our platform, with respect to leveraging carbon, we're -- we had the ability to capture carbon from our own platform. We can actually purify that CO2 to beverage or food grade, and deliver that CO2 to a food company or a beverage company for utilization, other being processing, or carbonated beverages, while at the same time with that onsite generation delivering reliable electricity. And as I'm sure you appreciate, the thermal use in most of those locations is another area that our platform can deliver value, but increasingly deliver energy security to those production facilities, in addition to certainly around pricing on carbon, as an ingredient in their products, which is going to become an even bigger issue as we continue to see prices put on carbon and/or reduction in traditional sources of carbon from a supply standpoint.
Praneeth Satish: Got it. Thanks.
Operator: Your next question comes from the line of Jed Dorsheimer from Canaccord Genuity. Your line is open. Once again, your next question comes from the line of Jed Dorsheimer from Canaccord Genuity. Your line is open.
Jed Dorsheimer: Hey, sorry. I had it on mute. Thanks for taking the question guys. I guess, just on the generation side, what changed in pricing quarter to quarter? Is -- it ticked up, but on the same base, how should we think through those short-term dynamics there?
Jason Few: Hey, Jed, how are you this morning? If I didn't tell you that you're on mute or something [technical difficulty]. Great question. And then I'll actually have Mike Lisowski talk about this a little bit. But, in general, right, the way you should think about it just increased output with the things that we've been doing in terms of enhancing the operations of our current generation portfolio. But Mike, I'll let you speak to that a bit.
Michael Lisowski: Yeah. No. Jed, thanks for the question. And Jason, you hit it right on the mark. Generally, the improvement there is based on the overall output generation of the fleet. This is built and centered around the improvements that we've made with respect to replacement of modules at end of life and other outperformance improvements that we've made across the fleet. And that those are the drivers for that improvement.
Jed Dorsheimer: Got it. Thanks. And then, I guess, just the percentage of the base that gray versus blue, I know the -- TriGen in sort of the capture is a relatively small portion. But I'm just curious, what is that percentage?
Jason Few: Would you say the percentage of the base?
Jed Dorsheimer: So, the percentage of the fleet that can do in terms of your base that's able to do gray hydrogen generation that isn't -- doesn't have any of the capture technology versus what is sort of the non-R&D that actually capturing the carbon that's considered blue.
Jason Few: Yeah. So, Jed, if you think about our existing operating portfolio today, none of those platforms that are currently deployed or grid connected or behind the meter of the customer are doing electrolysis or hydrogen production. So, if you think about our platforms on a go-forward basis, right, we are carbonate platform. The way -- I would try to get you to think about it is if you think our carbonate platform, we have two ways of delivering hydrogen with our carbonate platform. And across the carbonate platform, we can deliver gray hydrogen, blue hydrogen, or green hydrogen, depending on the configuration for where that platform is deployed. So, the way that we do that is either with our TriGen platform. So, if you just take the Toyota project, as an example, where we're using direct biogas, that is going to deliver green hydrogen, carbon neutral power and water off that TriGen platform. So three value streams get delivered to Toyota. Also with that carbonate platform, we're working to commercialize the ability to take that same carbonate platform and run it in reverse mode for electrolysis. And again, with that platform, depending on the configuration, so let's just take a configuration where we're using natural gas in this case to produce hydrogen, we would be using natural gas as an input fuel and electricity, and converting that through electrolysis to hydrogen. And in that case, great hydrogen. And then, also if we were using biofuels, right, that could be green hydrogen. And if we were doing carbon capture with natural gas and electricity, that could be blue hydrogen. And then if you take thirdly, our solid oxide platform, again depending on the configuration, so let's say we were doing electrolysis and we were using the input was renewable energy sources, wind, or solar, as an example. And we were using that electricity to convert the hydrogen. That would be green hydrogen. But if we're using grid electricity, kind of the blending of nuclear and renewable and gas and coal, we would be making great hydrogen in that configuration. So, it really depends on the configuration, but across both the carbon and solid oxide platform, we have the ability to deliver hydrogen. And depending on the input sources, we can deliver the various colors of hydrogen, if you will.
Jed Dorsheimer: Is that -- thanks. That's helpful. So, I guess it begs the question, I guess, why focus on the U.S., why not focus your efforts on Cutter [ph], for example, which has its entire economy in -- based in shipping LNG, where you would have the most fruitful marketing in terms of, is it the infrastructure or the demand for hydrogen is just not there. Or is there some other reason instead of focusing on sort of these small -- smaller projects?
Jason Few: Yeah. So, we are not just focused on U.S. as I -- as we talked about part of our powerhouse business strategy has been to move our activity into our shrinking and growth phase. Part of that is adding resources, which equates to market coverage so that we can pursue broader opportunities across the globe. And as we indicated, we're making progress in terms of our hiring there and deploying resources, as well as relationships in various markets to help with those efforts. And we're recruiting themselves people, Jed. So if you're looking at, you can -- we need a great salesperson in that part of the world, so.
Jed Dorsheimer: Sure. Well, listen, I appreciate it. I'll jump back in queue.
Jason Few: Thanks. 
Operator: Our next question comes from the line of Noel Parks from Touhy Brothers. Your line is open.
Noel Parks: Hey, good morning.
Jason Few: Good morning.
Noel Parks: Just a couple of things. Could you just talk a little bit more about the new project in Derby? Just curious about, what the lead time was from inception to signing, whether the pricing out of the deal is more or less typical.
Jason Few: Sure. So, let me make sure I'm answering the question you're asking. Are you asking about the 2.8 megawatt award that we discussed or--?
Noel Parks: Exactly. Yes.
Jason Few: Okay. Yes. So, that project was part of a program called shared clean energy facilities, which was an open competitive bid process that we participated in the State of Connecticut. And we won that project as part of that open bid process where we competed against other generation resources like wind and solar. The project - award -- award I must say the bid process and the award process lasted over several months was the process. And then, upon being awarded that project and now having assigned PPA, it's part of our backlog now, and we'll intend to move forward with development and construction of that project.
Noel Parks: Great. And for San Bernardino and Groton Navy are both coming online, sort of later in the summer. Just for some perspective, could you talk about, I guess, the usefulness of having new fully life projects, as sort of just in demonstration, as far as, trying to get new contracts. And if you were replicating a project like San Bernardino today, just curious, where do you think the costs would be this time around either efficiencies or lessons learned versus, I guess, maybe labor materials service environment.
Jason Few: Yeah. No. I think, I might've missed the first part of your question. But in terms of San Bernardino, maybe I'll speak to that one here just a little bit. And then I'll ask maybe Mike to jump in. So, the way you can think about a project like San Bernardino is that it's more representative of other projects that we've done that are leveraging onsite biofuels for the production of carbon neutral power. If you think about that project just as we did in 2019, if I have my year right, the Tulare project as an example, where that was another example of a wastewater treatment facility that was using aerobic digesting to produce biofuels and was actually flaring that gas. We were able to leverage our technology to utilize that fuel to produce clean power at -- and at Tulare and the State of California we're doing the same thing with San Bernardino, which is another example of leveraging onsite biofuels, which we think is a differentiated capability for the company. And we think that there's opportunities to do that across other areas where wastewater treatment plants or other areas where biofuels are being produced. I mean, it just stayed with California for a second. If you look at legislation there now that requires a food waste, not go to recycling, but then it uses for digesting, that's going to be another source of fuel as an example that we'll look to leverage as in terms of creating opportunities for the company with that platform. And that enhances grid liabilities -- grid reliability and resiliency as well. And so, we were very excited about those kinds of opportunities. The other example is if you think about the project you mentioned on the Navy base in Groton, Connecticut, that's an example where we are excited about the fact that we're participating in a project where the U.S. government and the military is committed to enhancing reliability on its installations. There, with our platform, we will be able to provide micro grid services to the Navy in addition to grid power to the Groton area, enhancing the reliability of not only the grid, but enhancing the reliability of the Naval base operations as well.
Noel Parks: Great. And yeah, I was sort of getting at -- as -- I am sorry. I didn't mean was somebody else going to jump in?
Jason Few: No. Go ahead.
Noel Parks: Okay. Well, just thinking if -- the next time around, if you had a similar water treatment project, do you think the cost this time around -- however many years later after your prior ones, would be similar, do you think there's a cost curve you can scale? I guess, I'm just trying to think about how the economics might change as you replicate more and more projects like this over time.
Jason Few: Yeah. So, I think if I'm understanding your question correctly, obviously every project we do, there are opportunities that we take away from a learning perspective that we learn how to maybe think doing onsite construction differently. How we think about our sourcing of EBC contractors as we build scale and in our manufacturing capabilities, all those things will contribute to us being able to lower actual costs of the next platform, right? And so, we look to continuously through -- continuous improvement and lean manufacturing and the way in which we approach each and every project to find ways to bring down overall costs every time. And to your point in terms of the next project, keep in mind, right, the technology that we're deploying is replicatable, it's the same technology. It's our same proprietary gas cleanups gated. So, it's our same carbonate fuel cell platform. So, we're not doing something new every time. And that adds to obviously the efficiency and opportunities to drive down costs. 
Noel Parks: Great. Thanks a lot.
Jason Few: Thank you.
Operator: [Operator Instructions] Your next question is from the line of Jeff Osborne from Cowen and Company. Your line is open.
Jeffrey Osborne: Hey, Guys. Just a couple or actually one -- sorry -- the Connecticut 6524 program is Beacon Falls eligible for that?
Jason Few: Yes. Well, first of all, I should say, hello, Jeff. How are you this morning? But the answer is yes. A project like that would fall into that legislation, assuming Senator by the -- by the governor.
Jeffrey Osborne: Perfect. Thank you.
Operator: Your next question comes from the line of Chris Souther from B Riley. Your line is open.
Christopher Souther: Hey, guys. Just a quick one then on module exchange timing for the rest of the year. Are there any other key module exchanges that you're expecting throughout the year, or how should we think about the timing of some of that?
Michael Lisowski: Chris, thank you very much. Great question. This is Mike Lisowski. So, as you know, module replacements, they're in the ordinary part of our business and we do them when we need to do them. And the overall our build replacement plan remains unchanged. We're really focused around for specific projects going forward in the future that we're going to be making module exchanges. And that's really a mixture of lending between projects that are in our generation portfolio, as well as under service agreement. And our manufacturing plan is in alignment with supporting those module replacement. So we're well-positioned to support that.
Christopher Souther: Understood. And then just another one if I could hear, sorry, to kind of delay things. But I wanted to get a sense of the pipeline, if you could kind of break it down between people looking at what you guys are going to be doing with Toyota and seeing potential with some of these additional value streams versus they were distributed generation, and then some of the -- longer term opportunities, where -- if you could kind of break down the pipeline to kind of piggyback on Jed's question before?
Jason Few: Yeah. Thank you. We -- just to give you maybe a broad sense, right, in terms of how we think about that and the opportunity to pursue them, we see a lot of opportunities around the leveraging biogas, like we just talked about. We also see opportunity for our platform, as you think about edge data centers. When you think about the -- what an edge data center needs, it needs reliable power. It also needs a lot of chilling. And the fact that we can integrate with absorption chilling, it creates an opportunity for us. We're seeing opportunities across both education and healthcare sectors, food and beverage. As I described, we see opportunities around government sector i.e. military as the fortification of our installations across the U.S. continues to be an important priority for the administration. And across industrial and processed type for manufacturing, we're seeing growing demand for not only reliability, but frankly as a way to try to find authentic ways to try to really contribute to decarbonisation as opposed to what's typically done in terms of leveraging like virtual PPAs around renewable energy. And then we certainly anticipate when it comes to micro grids, both for commercial and industrial customers, but also for utilities, there's a -- an increasing desire to implement micro grid so that they can ensure that the central resources remain online. And with micro grid, having the opportunity to eliminate or significantly reduce a lot of the above-ground risks, we're seeing a lot more interested in those kinds of opportunities. And then certainly across growing demand around pharma and biotech as well, where we're seeing opportunity for reliable power generation. As you can imagine, those facilities require reliable power. A lot of money is spent in R&D and so having power available is critical. And then being able to leverage aspects of our platform like steam and their manufacturing process.  So, again, really focusing on customer segments and opportunities where we can deliver enhanced value to the customer by really leveraging the full capabilities of our platform. So hopefully that gives you a sense of how we're seeing the opportunity across customer segments.
Christopher Souther: Okay. No. That's very helpful. Thanks guys.
Jason Few: Thank you.
Operator: Your final question comes from the line of Eric Stine from Craig-Hallum. Your line is open.
Eric Stine: Good morning, everyone.
Jason Few: Good morning, Eric.
Michael Bishop: Good morning.
Eric Stine: Hey, just wanted to touch on the product side of the business. I know that's clearly a focus. You talked about reengaging there, so maybe what have been some of the gating factors? What are some of the steps you're taking and maybe a timeframe to when you think that you start to see some traction there?
Jason Few: So, Eric, in terms of the product, are you talking about the sales pipeline? I am assuming …
Eric Stine: No. I'm talking about just product sales. I mean, obviously, you're making great strides growing generation, but I know products -- selling product along with that as part of the mix is one of your objectives. So just thoughts there.
Jason Few: Yeah. So, as we -- as we've been working through our business strategy, one of the things that we focus the first several months, obviously, on fixing our balance sheet and creating some liquidity for the company are -- sales cycle generally for our utility scale projects range anywhere between 12 to 18 months. And so, if you think about where we are on that timeline, we fully anticipate that we'll start to convert projects that we have in our pipeline to sales and many of those opportunities kind of around the world are opportunities to actually be product sales. But obviously with each one of those -- we bundle a service agreement that runs could turn -- coterminous with the life of the asset. So that's generally as a 20 year kind of service agreement as well. So, we fully expect to start to see some of those convert to sales opportunities. And you'll see a mix of product sales in addition to what you've traditionally seen for us for a while now, PPA's as well.
Eric Stine: Got it. Thank you.
Operator: There are no further questions. I'd now turn the call back over to Jason for closing remarks.
Jason Few: Jason, thank you. And thank you all again for joining us today. We will continue to execute on our powerhouse business strategy, working to deliver profitable growth and optimize returns. The FuelCell Energy team is excited about our work to deliver on our purpose, to enable the world to live a life and powered by clean energy. And we are committed to delivering long-term shareholder value. Thank you for joining our call today. And I hope everyone has a great day. Thank you.
Operator: That concludes today's conference call. Thank you everybody for joining. You may now disconnect.